Operator: Thank you for standing by, and welcome to the Lightbridge Corporation Business Update Conference Call. Please note that today's call is being recorded.  It is now my pleasure to introduce Matthew Abenante, Director of Investor Relations for Lightbridge Corporation.
Matthew Abenante: Thank you, Liz, and thank you all for joining us today. Joining us on the call is Seth Grae, Chief Executive Officer; along with Andrey Mushakov, Executive Vice President for Nuclear Operations; and Jim Fornof, Vice President for Nuclear Program Management.  I would like to remind our listeners that any statements on this call that are not historical facts are forward-looking statements. Today's presentation includes forward-looking statements about the company's competitive position and product and service offerings. During today's call, words such as expect, anticipate, believe and intend will be used in our discussion of goals or events in the future. This presentation is based on current expectations and involve certain risks and uncertainties that may cause actual results to differ significantly from such estimates. These and other risks are set forth in more detail in Lightbridge's filings with the Securities and Exchange Commission. Lightbridge does not assume any obligation to update or revise any such forward-looking statements, whether as a result of new developments or otherwise.  And with that, I would like to turn the call over to our first speaker, Seth Grae, Chief Executive Officer of Lightbridge. Hello, Seth.
Seth Grae: Well, hello, and thank you, Matt, and good morning, everyone. Thank you for joining us today. We are in the process of finalizing our audit and fiscal year 2021 financial results, which is why we have not yet issued our earnings press release. We anticipate that our results will be completed and disseminated in a press release next week and, in any event, will not be issued late.  At Lightbridge, we go on and have excellent progress to report, but we are mindful that this is a tumultuous time, including nuclear power facilities in Ukraine under threat by Russia's military, endangering people in our industry there and, of course, so many other people. Lightbridge reached many goals in 2021 that will support our long-term upward trajectory. We completed our first GAIN Voucher with Idaho National Lab to develop the experiments to irradiate material samples of Lightbridge metallic fuel in the Advanced Test Reactor.  We also began work on our second GAIN Voucher in collaboration with Pacific Northwest National Lab to demonstrate our casting process using depleted uranium, a key step in the manufacture of Lightbridge Fuel. We anticipate completing this work in the second half of 2022. We successfully demonstrated our proprietary manufacturing process using our high-temperature, co-extrusion process for 3-lobe, 6-foot length surrogate rods, which is the typical length of the fuel rods used by small modular reactors now in development and licensing.  Performing these initial fabrication development activities with actual nuclear-grade zirconium alloy and with surrogate materials instead of uranium allows us to use a broad range of suppliers and is a cost-effective approach since it doesn't require procuring uranium material. Andrey will discuss these items shortly.  As part of our fuel development work, we expanded our patent portfolio by successfully obtaining 7 new patents in 2021 in the United States and in key foreign countries. As of December 31, 2021, we held 5 U.S. patents and more than 140 foreign patents with 15 pending patent applications. These patents help safeguard our intellectual property, which is an integral component of the company's plans to monetize Lightbridge Fuel technology in the future.  We anticipate that fuel development milestones over the next couple of years will include an agreement to manufacture our nuclear fuel material samples for capsule irradiation in a test reactor while continuing to develop and optimize our nuclear fuel manufacturing processes using depleted or natural uranium and initiating the design and manufacturing of a multi-lobe fuel rod with enriched uranium for fuel irradiation experiments in a test reactor. We are actively working with the U.S. government and the private sector to reach these key milestones. The benefits of nuclear energy have come into focus over the last year like never before. Accountability for achieving the net zero carbon targets being set by countries and companies around the world continues to drive the momentum toward more nuclear industry-friendly policy decisions. The horror in Ukraine and before that, the energy crisis experienced in some parts of the world have amplified concerns from policymakers about energy security. These unfortunate events have only amplified the fact that energy security and energy infrastructure will be meaningful priorities, which bodes well for nuclear power. Only nuclear power can expand the availability of clean and reliable baseload electricity without carbon emissions while weaning countries off dependency on fossil fuels from countries that threaten their national security. There is a growing consensus that nuclear power with its clean emissions profile, reliable and secure baseload capability and low levelized cost will play a major role in achieving decarbonization goals. Throughout 2021, the United States as well as the United Kingdom and France reaffirmed their commitments to nuclear power by developing plans to support their existing reactor bases and are currently reviewing their policies to encourage even more nuclear capacity. In fact, the European Union demonstrated strong support for nuclear energy by agreeing in principle to include certain nuclear energy activities in its taxonomy for sustainable finance. Its inclusion will identify nuclear power as a climate-friendly investment and could result in increased investment in nuclear power technology.  United States Nuclear Regulatory Commission's Annual Regulatory Information Conference was held this week. We were heartened by Commissioner Baran's speech in which he gave strong support for the effort within the NRC to move toward technology-neutral, performance-based regulations for advanced nuclear fuels. Next week, I'll participate in an important session at South by Southwest in Austin, Texas. Dr. Sweta Chakraborty who is an independent member of Lightbridge's Board of Directors and Chairs our ESG Committee will lead this session. She also serves as President of U.S. operations at We Don't Have Time, the world's largest climate action review platform dedicated to connecting key thought leaders about climate change initiatives.  Part of my message that I look forward to conveying is that Lightbridge is a clean tech company because nuclear is a clean tech energy industry. With this technology that Lightbridge is bringing, we think many more people can start to see it that way, too. Lightbridge Fuel addresses concerns that people have about nuclear power. And together with Small Modular Reactors, can really help nuclear power grow and help others accept nuclear as a clean tech industry. It makes a standout because as far as we can find, Lightbridge is the only pure-play listed nuclear company in the world. While this is a time of great opportunity for our industry, I again want to acknowledge people in Ukraine who are operating nuclear facilities under the most difficult of circumstances.  And with that, I'll turn the call over to Andrey Mushakov, Executive VP for Nuclear Operations, who will review our near-term research and development opportunities. Andrey?
Andrey Mushakov: As Seth mentioned, we continue to make progress in our fuel development program in 2021. We completed work under the U.S. Department of Energy's GAIN Voucher program in collaboration with Idaho National Laboratory. Our work consisted of designing an experiment for the irradiation of Lightbridge metallic fuel material samples in the Advanced Test Reactor at Idaho National Laboratory. Together, we established the best plan for the measurement of key thermophysical properties of Lightbridge Fuel material, both before and after irradiation in the Advanced Test Reactor. From there, Idaho National Laboratory performed a detailed design and established the safety case needed for insertion of the experiment in the Advanced Test Reactor.  This included the control of parameters such as sample enrichment, thermal-hydraulic capacity, maximum sample temperature, neutron fluence and the physical location of test capsules within the Advanced Test Reactor. Next step in the testing program will be to contract for the high-assay low-enriched uranium material and fabrication of the sample coupons for insertion in the Advanced Test Reactor. Our goal is to have experiment available for insertion in the ATR when its core internal change-out maintenance outage is competed. The timing of the insertion is subject to the final duration of the maintenance outage, the availability of testing positions in the Advance Test Reactor, Idaho National Laboratory's prior commitments for testing as well as fabrication and delivery of the coupon samples. Once the required burnup is achieved in the Advanced Test Reactor, post-irradiation examination will be performed.  We began work on our second GAIN voucher with the Pacific Northwest National Laboratory, or PNNL, in the third quarter of 2021. The scope of this project is demonstration of our fuel testing process using depleted uranium and a 50% [indiscernible] alloy with zirconium. This is a key step in the fabrication process of our fuel and it also fits into our needs for fabrication of irradiation fuel samples for the Advanced Test Reactor with Idaho National Laboratory. We have completed the procurement and deliveries to PNNL of depleted uranium and zirconium materials with our sub-tier vendors, which is a component of Lightbridge's major contribution to the project. The total value of the project is approximately $663,000 with 3/4 of this amount funded by the U.S. Department of Energy with the scope performed by PNNL.  We also had a successful demonstration of our patented co-extrusion process using surrogate materials in place of uranium. Surrogate rods manufactured this in our co-extrusion process at the 6-foot nominal length designed for small modular reactors. This successful demonstration of our high-temperature co-extrusion illustrates the primary forming process for Lightbridge Fuel, including the helical twist of the fuel rods and the metallurgical bond between the central displacer, surrogate fuel alloy and the cladding. Rods produced during this demonstration will be used for further development activities, including validation of computer models of the extrusion process and [indiscernible] fabricated cladding alloys. The design of Lightbridge Fuel enables small modular reactors to more efficiently load follow, brings an up-and-down in power [indiscernible] available, replacing fossil fuel plants. In addition, we expect this technology to reduce the cost of generating electricity from a small modular reactor, which strengthens the business case for deploying large numbers of small module reactors to deliver reliable power and meet climate goals.  Back to you, Seth.
Seth Grae: Well, thank you, Andrey. And now we'll go to the question-and-answer session. Thank you to everyone who has submitted questions. Matt?
A - Matthew Abenante: Okay. Your first question, has there been any progress or updates regarding the possible additional test loops at the Advanced Test Reactor at Idaho National Laboratory?
Seth Grae: Yes, there are updates. My understanding is that the U.S. Department of Energy is funding Idaho National Laboratory to add one additional test loop at the Advanced Test Reactor. That's nice progress, but we don't think it's good enough.  We are in contact with officials to explain why we believe it is important for U.S. energy security to add an additional 1 or 2 test loops to that reactor beyond the 1 that is available to industry now and the 1 that's being added.  Of course, our focus is on Lightbridge Fuel. But it's also important for advanced nuclear technology in general to have this added testing capacity if the U.S. is to compete successfully against China and Russia in international markets. Chinese and Russia's equivalent test reactors already have the added test loop capacity. Next question, Matt?
Matthew Abenante: Okay. How confident are you that Lightbridge will be able to obtain sufficient quantities of HALEU to perform the irradiation testing experiments and research reactors?
Seth Grae: Well, HALEU, high-assay low-enriched uranium is the material we're talking about. And DOE, the Department of Energy, has expressed support for advanced reactors and fuel designs. As Andrey mentioned, the next step in our testing program will be to enter into a contract with DOE that will include DOE providing this HALEU, this high-assay, low-enriched uranium, for our fuel samples that will be inserted into the Advanced Test Reactor. We look forward to announcing that contract, which will be a positive answer to your question, but we're still working on it. We'll announce it as soon as we sign it. Next question, Matt?
Matthew Abenante: How will the waste from spent Lightbridge Fuel compare with existing nuclear fuel rods?
Seth Grae: How will the waste compare? Well, current nuclear fuel is already pretty highly proliferation resistant. According to a report by Siemens and a peer-reviewed article in a major technical journal, Lightbridge's used fuel would have significant added proliferation resistant benefits as compared to current nuclear fuel. We believe this advantage is of particular relevance for small modular reactors that are being developed and we expect will be deployed in large numbers around the world. So they can't be used for weapons programs during the decades that they will operate in many different countries.  Also, the nuclear power industry did not create the weapons-grade plutonium that governments produce, particularly the U.S. and Russia. But we believe that Lightbridge's nuclear fuel technology could be used to dispose of it 5 times faster than any other technology. Do you have another question?
Matthew Abenante: Yes. This is our last question. Is Lightbridge pursuing additional GAIN Vouchers or any other government funding or cooperation?
Seth Grae: Well, over to Jim. You want to take that one?
James Fornof: Yes. Sure, Seth. Yes, Lightbridge is continuously looking for non-dilutive government funding opportunities that can align with our fuel development program schedule, at the same time, considering and minimizing any concerns that we might have regarding protection of our intellectual properties. We believe that performing well on our first GAIN Voucher has helped lead to the second GAIN Voucher. And we're now focused on performing well under that second GAIN voucher at the Pacific National Lab, which we believe will lead us to future opportunities for government funding support.
Seth Grae: Thanks, Jim. Next question, Matt?
Matthew Abenante: That's the last question.
Seth Grae: Okay. Well, thank you to everyone who submitted those questions. We appreciate you joining us on this call. We look forward to additional updates in the near future. In the meantime, we can be reached at ir@ltbridge.com. Stay safe, stay well. Goodbye.
Operator: Thank you all for attending. You may now disconnect.